Operator: Good day and welcome to the Reinsurance Group of America First Quarter 2020 Results Conference Call. Today’s call is being recorded. At this time, I would like to introduce Mr. Todd Larson, Senior Executive Vice President and Chief Financial Officer. Please go ahead.
Todd Larson: Thank you. Good morning, everyone, and welcome to RGA’s first quarter 2020 conference call and our first working from home conference call. With me this morning on the call is Anna Manning, RGA’s President and Chief Executive Officer; Alain Néemeh, Chief Operating Officer; Leslie Barbi, Chief Investment Officer; Jonathan Porter, our Chief Risk Officer; and Jeff Hopson, the Head of our Investor Relations.Considering the unprecedented environment, we have included additional members of our management team on the call and made available an earnings presentation supplement this quarter, which we will be referring to during the call to provide more information on our investment portfolio and our global mortality exposures, among other things. We will discuss the first quarter results after a quick reminder about forward-looking information and non-GAAP financial measures. Following our prepared remarks, we’ll be happy to take your questions. Some of our comments or answers to your questions may contain forward-looking information and statements. Actual results could differ materially from expected results.Please refer to the earnings release we issued yesterday for a list of the important factors that could cause actual results to differ materially from expected results. Additionally, during the course of this call, information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation, quarterly financial supplement and website for discussion of these terms and reconciliations to GAAP measures.And now I will turn the call over to Anna for her comments.
Anna Manning: Thank you, Todd. Good morning, everyone. These are extremely challenging times for all of us, and particularly for those who have lost loved ones during this pandemic. Our thoughts are with them and with all of those on the front lines of this crisis who are bearing a disproportionate share of the burden. At RGA, we are focused on supporting our employees, our clients and our communities, knowing that families around the world rely on the financial support that insurance companies provide in times like these. And RGA remains committed to helping our clients meet our shared responsibilities to those families. RGA is also supporting COVID-19 global response efforts through grants from the RGA Foundation. Like others, we have been operating with most of our employees working from home.I am pleased to report that our operations are functioning normally. The RGA teams have risen to the challenge of working remotely, and we are very proud of what they have accomplished. Although there remain many unknowns, RGA entered the pandemic in a position of strength. We have a strong balance sheet. Our investment portfolio is defensively positioned. We have ample liquidity and an excess capital position of approximately $700 million. We have a resilient global operating platform, a business that is well diversified by geographies, product and risk, a leading brand and a strong track record of success. In short, I believe we have the best life and health team in the global reinsurance industry, and I’m confident that this team will manage through challenges ahead and come out strong.Moving to our first quarter, our operating results were below expectations as we reported adjusted operating EPS of $1.41 for the quarter, compared to $2.61 a year ago. We also reported a net GAAP loss of $1.41 per share, which in part reflects the accounting treatment for a number of items that are directly attributable to the turmoil in the financial markets. Todd will provide a more comprehensive commentary on these elements, but I would note that as financial markets stabilize, we would expect to see a reversal of some of those items over time. In the quarter, the two biggest sources of negative variance in our operating results were our elevated U.S. individual mortality claims and very low levels of variable investment income. Elevated claims in our U.S. individual mortality business were largely the result of a higher-than-expected frequency of smaller claims, even after adjusting for normal seasonality and the impact of the leap day this year.As discussed at our recent Investor Day, the impact of seasonality has increased in recent years as our block ages, which impacts the pattern of earnings emergence throughout the year. The excess claim impact was highly concentrated at ages 70 and above. And as briefly outlined in our earnings release and earnings presentation, while cause of death and definitive COVID-19 impacts are difficult to establish, especially in the early days of the pandemic, we believe that some of these additional claims might have been directly or indirectly related to COVID-19. On the positive side, most of our other segments and businesses performed well in the quarter, including the Traditional segments in Canada and EMEA, Asia Financial Solutions business, our U.S. group business, and our Australia business performed better than expected and produced a modest profit. Throughout the quarter, we continued to support our clients and executed on several in-force transactions, deploying $55 million in capital. The pipeline remains very good across all our major regions and product lines. Going forward, you can expect that we will continue to execute on attractive transactions following our disciplined approach of pursuing those that best align with our capabilities and advantages.Let me comment on COVID-19 more broadly. As we work our way through this pandemic, we do expect to see additional COVID-19 claims, as well as claims from other causes of death that are accelerated or exacerbated by the pandemic. While the ultimate level and timing of claims was difficult to predict, we believe that our financial strength positions us well through a wide range of potential stress scenarios. Our Chief Risk Officer, Jonathan Porter, will provide more in-depth comments later in this call. We recognize that we are in unprecedented times and that there are a range of uncertainties that will play out over time, including economic effects and societal changes. Through this, we will likely see some ongoing financial impacts, but believe that the effects are manageable given our strong financial position and the demonstrated ongoing earnings power of our global business. RGA’s talented teams give me confidence that we will manage through the challenges ahead of us and that we can deliver on our promises of creating long-term value for all our stakeholders. Thank you for your interest in RGA, and I hope you all remain safe and well.And with that, I will hand it back to Todd to provide more detail on our results.
Todd Larson: Thanks, Anna. I will review the financial results and discuss RGA’s capital and liquidity. Reported premium growth was 3% for the quarter, but our organic growth on a constant-currency basis was 5%. While that is down from the 6% to 8% that we have been producing more recently, we view the 5% as attractive given the current slowdown in growth in Asia-Pacific.As Anna mentioned, we deployed approximately $55 million of capital into transactions this quarter. The transactions we completed were diverse, both by product and by region. Earlier in the quarter, we repurchased $153 million of common stock. We have since suspended share buybacks. We ended the period with an excess capital position of approximately $700 million. Our adjusted operating return on equity for the trailing 12 months was 9.5%. The effective tax rate on pre-tax adjusted operating income was 24.7% this quarter, slightly above the expected range of 23% to 24% primarily due to the geographical mix of earnings.Now I will comment on the results by segment, which you can see on Slide 7 of the earnings presentation. The U.S. and Latin America traditional business reported a pre-tax adjusted operating loss of $55 million, reflecting unfavorable individual mortality experience primarily due to higher-than-expected frequency of non-large claims and very low levels of variable investment income. We have provided some further commentary in the earnings presentation materials. We saw a particularly large concentration in claims from those over 70 years of age, as well as from older issue year vintages. There is also growing anecdotal evidence, sorry about that, that all-cause mortality in the general population was higher beginning in March and possibly earlier.While it is difficult to provide definitive attribution at this time, the characteristics of the excess claims lead us to believe it is possible that some of these might be directly or indirectly related to COVID-19. Over time, we do expect to get more information and data to better assess the sources of adverse experience to define our assumptions going forward. Our asset-intensive business reported pre-tax adjusted operating income of $43 million this quarter, lower than the expected run rate, reflecting the impact of weak capital markets and some related deferred acquisition cost effects. The lease capital markets resulted in lower fee income on annuities from lower account balances.Moving to Canada, the traditional segment had another good quarter but was down over the prior-year quarter, with pre-tax adjusted operating income of $36 million. Results this quarter reflect favorable individual mortality experience, while the year-ago period was particularly favorable. In the Europe, Middle East and Africa segment, our traditional business reported pre-tax adjusted operating income of $17 million, primarily reflecting favorable underwriting experience in the UK Reported premiums totaled $390 million, up 7% on a reported basis versus a year ago and up 11% on a constant-currency basis. EMEA financial solutions business, which includes asset-intensive, longevity and fee-based transactions reported pre-tax adjusted operating income of $36 million, relatively flat compared to the prior year, reflecting modestly unfavorable longevity experience and some client catch-up reporting.Turning to our Asia-Pacific traditional business, pre-tax adjusted operating income totaled $24 million. This quarter reflects the negative effect of client reporting catch ups particularly related to one client. The results in Australia were better than expected, producing the modest profit this quarter. Reported Asia-Pacific traditional premiums were slightly down, reflecting slower growth in Asia. Our Asia-Pacific financial solutions business reported pre-tax adjusted operating income of $10 million, reflecting strong new business in Asia, where we continue to provide broad-based solutions to our clients by combining our capabilities in product development and financial solutions. The corporate and other segment reported a pre-tax adjusted operating loss of $19 million, lower than the expected average run rate, primarily from lower expense levels.We did report a net loss for the quarter as we had some below line items that were more significant than what we have seen in past quarters and were reflective of the turmoil in the financial markets, especially toward the end of March. We provided a reconciliation of pre-tax income and loss to pre-tax adjusted operating income on Slide 9 of the earnings presentation. There is a modest amount of investment impairments, primarily related to the energy sector and emerging markets. Leslie, our Chief Investment Officer, will comment on our investment portfolio after my comments. We reported a loss from embedded derivatives or less known as B36, primarily due to the widening of credit spreads in the quarter. This primarily relates to treaties structured on a funds-withheld basis.The accounting is such that there can be volatility in the short-term during periods of stress in the market, and that accounting volatility should reverse over time with minimal net effect. We continue to execute on a prudent capital management strategy with the goal of having sufficient capital to run our operations, report our ratings and provide solid returns to our shareholders. We believe RGA’s balance sheet is strong, and our excess capital position stands at $700 million. We have considerable liquidity and have substantially increased our liquidity in the quarter as cash and cash equivalents increased from $1.4 billion at the end of 2019 to $2.8 billion at the end of March.RGA’s leverage ratios are at a comfortable level relative to our targets and limits. I’d like to highlight that we have a relatively stable liability profile, as you can see on Slide 11, with low liquidity and disintermediation risks. We are confident that RGA is in a position to manage through the current environment. We do expect to see some ongoing COVID-related claims that will negatively affect our earnings, although at this time, it’s difficult to accurately predict the ultimate impact. Given the fluidity of the situation, there are simply too many unknowns. Clearly, earnings will be impacted this year, and it will be difficult to achieve our intermediate targets. We will provide more information as we gain more clarity into the ultimate impact of this pandemic.And now I would like to turn the call over to Leslie Barbi, RGA’s Chief Investment Officer, to provide additional comments on RGA’s investment portfolio.
Leslie Barbi: Thanks, Todd. As we know, in addition to the health consequences of COVID-19, the actions to flatten the curve in affected regions have significantly impacted economies and markets globally. Monumental Central Bank and fiscal policy actions have been launched to help bridge this period of economic interruption, and many companies have moved to build cash to weather this period, including from record corporate market issuance. Nonetheless, this is a stressful time for the economy and market. We believe RGA’s high-quality investment portfolio is well-positioned for a challenging economic period. It is well diversified across asset classes, sectors, issuers and by geography. As highlighted on Slide 15, as of March 31, our average portfolio quality was A, with over 95% of our fixed maturity security and investment grade. The portfolio has a low amount of subordinated debt and equity investments.Our investment strategy positioned us well with an underweight to energy and to over-leverage BBB investment. While our commercial mortgage loan portfolio had an average loan-to-value ratio of 58%, and our CLO portfolio had an average quality of AA. Importantly, we are a financially strong reinsurance company. And while we proactively manage the asset portfolio, RGA’s liability profile and liquidity management enhances our ability to hold valuable investments through the cycle. A combination of people, process and strategy resulted in our defensively positioned portfolio coming into 2020. I am so impressed with the engagement and expertise of our global investment professionals and the energy they bring to meet this challenging environment every day. Our investment leaders averaged 29 years of experience across public projects in real estate. I can tell you from my own career, which we began over 30 years ago, how impactful it is to have seasoned investors at the helm who have successfully navigated multiple difficult economic and market cycles. That perspective drives our investment process commitment to ongoing deep diligence and risk management. We focus on downside risk and principal protection in our investment collections in our surveillance.From a top-down portfolio management perspective, we utilized scenario stress analysis to inform our asset allocation and total portfolio risk taking. Our mission is to contribute to RGA’s financial strength and liquidity, as well as RGA’s earnings power. We deliver that by having the right talent, capabilities and investment process. We emphasize higher quality fixed-income investments and disciplined approach to underwriting and diversification of risk. Our defensive portfolio positioning was in place well ahead of 2020 because of our disciplined risk management approach, focused on avoiding uncompensated risk. As examples, I will highlight two of our longstanding strategies with respect to BBBs and our investments in energy.Information is provided on Slide 16 and 18. It has been a known feature of this credit cycle that a portion of companies within the BBB rating category have pushed leverage beyond traditional BBB metrics. Our strategy was to avoid over-levered BBBS, except where we assess we’re appropriately compensated. In the slide deck, we have provided some analysis that we think demonstrates the success of our strategy. For example, as of March 31, one major rating agency had put 8.8% of the BBB index universe on negative rating watch. Our portfolio has about half of that amount in that category, a meaningfully better outcome. As another indicator, we not only have a lower portion of our BBBs in BBB minus than the market index proportion, our BBB minus holdings notably outperform the BBB minus slice of the index in the turbulent market action in March. On the energy front, we have had a long-standing underweight due to our assessment of risk relative to the previous higher oil prices.As shown on Slide 18, almost half of our holdings were in midstream, which is a more defensive less oil price-sensitive sector, and 87% of our total holdings were an investment-grade. With regard to our portfolio’s non-spread investment yield, in the first quarter, it was 4.08%. The difference versus the fourth quarter was primarily related to less uplift from variable investment income. The new money rate in the first quarter was 4.20%. This was supported by a strong start to the year in private asset production at a healthy spread over public market comps. Starting in March, we focused on accumulating cash given negative developments related to COVID, the economic outlook and volatile capital markets, so paused on putting money to work.The last topic I will comment on is variable investment income or VII. In the first quarter, we had minimal VII. We believe this is primarily a timing issue. We expect to catch up on the majority of our expected 2020 run rate for VII over time. Although in current market conditions, a meaningful portion of that income could be pushed late in the year or into 2021. Private equity realizations and real estate joint venture sales have typically contributed a large share of our strong VII performance over time.With few of those assets being sold in the first quarter, those assets still reside in our portfolio and could provide income at a future point when sales occur. That said, activity right now in both of those markets for all market participants is primarily focused on managing existing investments, and it may be a few quarters before market conditions are favorable for realizations and sales in those two types of assets. Those are two of the key portfolio features and investment strategies that I hope will help you better understand the positioning of our asset portfolio.With that, I will hand it over to our Chief Risk Officer, Jonathan Porter.
Jonathan Porter: Thank you, Leslie. This morning, I would like to provide some insights into RGA’s global mortality business and our exposure to COVID-19 impacts, including why we believe that the additional mortality rates in our business will be less than those in the general population.I will begin with a review of the geographic and age characteristics of our mortality portfolio on Slide 23. RGA’s mortality risk is diversified across multiple geographic regions as measured by risk announced our largest block is in the United States, which represents 45% of our global exposure. The next largest blocks in order are the UK at 17%; 12% in Canada; 5% in Australia; and 4% in Hong Kong. In total, these five countries represent 83% of our global mortality exposure. The balance of Asia, excluding Hong Kong, is 11% of the global total, spread across multiple countries in the region. The exposure in EMEA, excluding the UK, is 7%, again, spread across multiple countries. The combined mortality exposure in Italy, Spain and France, which are seeing some of the highest reported death rates of COVID-19, represent approximately one-third of the 7% or about 2.5% of our global mortality risk. The age profile of the mortality business is an extremely important factor to take into account assessing any company’s exposure to COVID-19. Emerging global data is clearly indicating that the virus has a much more severe impact on older-aged individuals and in particular – and in those particularly aged 70 and older. Age-specific reporting in our key markets is showing that 70% to 80% of general population deaths are occurring at ages 70 and older.The table on the bottom right of Slide 23 shows the portion of RGA’s mortality exposure, as measured by man at risk, for ages 70 and older compared to each country’s general population. In total, our key market exposures to ages 70 and older, is approximately one-third of the general population. What this means is that we would expect the additional death rate for our business to be materially less than those observed in the population statistics. Emerging data is also showing that individuals with pre-existing risk factors and conditions such as cardiovascular disease, chronic lung disease, diabetes, hypertension and obesity make up the vast majority of deaths. Early April CDC data indicated that almost 90% of U.S. COVID-19 hospitalizations involve one or more of these types of co-morbidities, and more than 80% of U.S. ICU admissions have chronic health problems.Similar results are being reported in other countries. This is an important factor when estimating the ultimate mortality rate on the block of insured lives as the underwriting process, as well as higher socioeconomic status of those buying insurance results in an overall healthier profile relative to the general population. Evidence of the generally healthier profile of insurance compared to the general population is seen when comparing all-cause mortality rates between these two groups. While we believe that our mortality portfolio will experience lower additional mortality rates for the general population due to these age and health status differences, it is still too early to accurately estimate the ultimate impact that COVID-19 will have on claims. There are many additional factors that will influence the future course of the virus, including country-specific circumstances such as hospital capacity, testing infrastructure and contact tracing, as well as how both public and private actions are managed. Further, it is still not clear how COVID-19 is impacting all other causes of death, both in the short-term and long term. And the timing and effectiveness of treatments or vaccine will play a significant role in the ultimate impact of the virus.As an illustration of the potential impact of COVID-19, if we were to calibrate to 100,000 U.S. general population deaths and apply a similar set of impacts globally, which implies 1.4 million additional global general population deaths, we estimate this would result in extra pre-tax mortality claims to RGA of between $400 million and $500 million. I want to emphasize that this range is based on multiple underlying assumptions that are still developing and wanted to particularly highlight three areas that could lead to lower impacts as we see actual experience emerge. First, this estimate assumes that all claims are from marginal extra deaths, and it is likely that some of these will be accelerations of deaths from people who would have died from other comorbid causes in the current or future years. It also assumes that countries will experience a similar age-adjusted impact of additional mortality, which we can already see developing differently. For example, Australia and Hong Kong have had very little additional mortality thus far, which will mean no material impact to RGA in those markets. It also assumes that different population sub-segments within a country will be equally impacted and we are seeing emerging data that – for example, lower socioeconomic frontline service roles, long-term care facility workers and residents. To the extent that there is a lower life insurance penetration in some harder hit sub-segments, this will result in lower overall claims for both the insurance industry and RGA.Finally, it is worth noting that RGA also has a material block of longevity risk, which acts as a partial hedge for our mortality exposure. The majority of our longevity business is concentrated at the older ages with approximately 70% of that exposure at ages 70 and older. As you would expect, we continue to devote significant resources to gathering and analyzing data, engaging with external experts and drawing on our decades of knowledge gained as one of the world’s premier life and health reinsurers. Given what we know now and looking at a range of potential stress scenarios, we believe that additional plans from COVID-19 will be well below our one-in-200 capital stress level. And that our diversified global franchise and strong focus on risk, capital and liquidity management will allow us to manage through this crisis.With that, I’ll turn it back over to Todd Larson.
Todd Larson: Thank you, Jonathan. That concludes our prepared remarks. So we would now like to open it up to you for your questions.
Operator: Thank you. [Operator instructions] We will now take the first question from Humphrey Lee from Dowling & Partners. Please go ahead.
Humphrey Lee: Good morning and thank you for taking the question. In terms of the U.S. mortality, I appreciate that the additional disclosure that Jonathan provided. But I guess when you think about the impact for the quarter, I guess how many elevated claims did you see in this quarter and how is that compared to – and then how did the number of claims trended for the quarter and into April?
Anna Manning: Good morning, Humphrey. I think I will turn that question over to Alain and Jonathan.
Alain Néemeh: Sure. So this is Alain. Thank you, Humphrey. In terms of reporting claims in the quarter, certainly, there were very few COVID-identified claims that appeared in the quarter, although some have started to come in after the end of the quarter related to the quarter, and we’re seeing more in April. So clearly, in April, I think we are seeing evidence of COVID claims. And as we said before, it’s really difficult to comment on any one month at a time. But going back to the first quarter, we did have some impact from COVID, but I don’t want anyone walking away with the idea that it was all COVID.
Anna Manning: Jonathan, anything to add?
Jonathan Porter: No, no, nothing for me.
Anna Manning: I might add one thing. Humphrey, as you’re well aware, cause of death reporting for us is always lagged. So our first-quarter analysis is limited on that basis, and it will take time for that cause of death analysis to complete. And in addition, there is some uncertainty with respect to the coding of COVID and COVID-related deaths throughout the course of the early part of the pandemic.
Humphrey Lee: Understood. So and then shifting gear to capital management. So I understand you currently suspended your share repurchases. I guess what factors do you have to see before you start contemplating resuming buybacks?
Todd Larson: I’m sorry. You asked what factors would we look at before we reinstate buybacks?
Humphrey Lee: Yes. So what do you need to see in order to – for you to resume buybacks?
Todd Larson: So sure. So we’re pretty consistent. We, of course, want to deploy capital, as we talked in the past, back into the business to support transactional activity. So that message hasn’t changed. We’d still like to deploy the capital back into the business to support attractive transactions. But more specifically, we need some more clarity around the ultimate, I think, path of the pandemic, both on what does it mean from a additional mortality claims over time, as well as, ultimately, with all the different global economies, what does it mean for the investment side. So we want to see some more clarity around where we expect this ultimately to go before we would reinstate our share repurchases.
Operator: We will now take the next question from Andrew Kligerman from Credit Suisse. Please go ahead.
Andrew Kligerman: Good morning, everyone. I wanted to get a sense of your premium growth outlook. In the United States, we saw in traditional net premium growth of about 1% versus historically more likely in the 2% to 4% range. And then, of course, there were pressures in Asia. So the Part A of it would be in the near term, how do you see premium growth in both the U.S. and the rest of world? And then the second, the part B of it being, how do you think demand will be affected in the longer term with respect to buying of individual life insurance?
Anna Manning: I could turn that over to Alain to comment.
Alain Néemeh: Yes. Sure. So I think certainly in the short term, I think you can expect premium growth to be somewhat pressured. We are seeing signs of slowing production both in the U.S. and in Asia as a result of the impact of COVID, stay at home, those kinds of elements. I’d like to think, though, first of all, I think it’s definitely too early to talk about sort of long-term repercussions, but I’d like to think that the value of life insurance will have proven out through this pandemic. And that, in fact, we might be able to bridge the gap with the underserved markets that exist in different markets. And then certainly, from a transactional standpoint, I think it’s fair to say we are continuing to see good opportunities primarily in Asia right now. And so certainly, from a premium growth standpoint there, I would expect to see a continuation of transactions over the course of either the year or into next year.
Andrew Kligerman: And as you talk about transactions, could you give a little color on what types of transactions you’re seeing? I think Anna mentioned the pipeline is good at the beginning of the call, and maybe tie Langhorne into it as well.
Alain Néemeh: So what I’d suggest is that such transactions we’re looking at are very consistent with the types of things we’ve been doing in the past whether it be longevity, asset-intensive, financial reinsurance in some cases. I think it varies by market. And it’s quite possible that as we work our way through our economic – the current economic environment, there will be some fore-sellers, but there may also be some people who prefer to just take a pause and see how well does this plays out before transacting. We talk about transactions are typically lumpy in normal times I think that’s probably very true and probably more so of what we’re seeing today.
Anna Manning: And maybe if I could just add a comment or two, we continue to see the PRT opportunities in Europe and, perhaps, in part because the pension plans there have had less equity exposure relative to their U.S. counterparts, so funding ratios are not as impacted. In the North America PRT market, we do expect it to grow, although perhaps delayed somewhat to later in the year or maybe into next year for the reasons just alluded to in Europe. As Alain mentioned, continued interest in Asia for the combined product development and capital solutions that is very good in our pipeline. And I would say in the U.S. asset-intensive market, maybe a little slower than in the recent past. Although there are opportunities in that pipeline, we are aware that some companies are thinking about and actively preparing to bring additional blocks to market. So overall, again, good pipeline similar type of opportunities as we’ve spoken about in the past.
Andrew Kligerman: And Anna, just mention Langhorne, does that just sort of fit into this scenario, or is there anything different there?
Anna Manning: No, there is nothing different there, and the asset fits into the various opportunities that I’ve described.
Operator: We will now take the next question from Erik Bass from Autonomous Research. Please go ahead.
Erik Bass: Hi, thank you. A bigger question on mortality, as claims have now had a negative variance of $50 million-plus for the three straight quarters, and I think it have been adverse in total for around six straight. I realize the drivers have been different each quarter. But at what point do you need to reconsider your base claims assumptions and potentially reset expectations?
Anna Manning: I will turn that over to Alain and Jonathan to comment.
Alain Néemeh: Sure. Why don’t I start? Certainly, we have seen a number of off quarters in the U.S. over the last few years. I’m not sure it’s quite fixed straight, but what I’d say the experience we’re seeing this time around is maybe a little bit different from what we’ve seen in the past. Typically, when we miss on U.S. mortality, it’s attributable to a large claim volatility, which, as we’ve talked about, tend to average out over longer periods of time. We’ve also called out a slowing of mortality improvement in younger and middle ages in recent years. And I think we talked about this at investor day a couple of years ago. If you go back over 50-years, we do see ups and downs on that, and in fact, I think over the last 50-years, we’ve seen 15 or so years of slowing mortality improvement. But what we’re seeing this quarter in terms of higher frequency on small policies, claims at the older ages, claims and older writing vintages, together with some evidence that we’re seeing of higher influenza-like illness hospitalizations, we’re certainly seeing new information every day that suggests that some of the COVID reporting, for example, is a little bit late. You’ve seen, I think, recently a report that the first diagnosis in France might have been as early as December 27. The first death in the U.S. in Santa Clara is now, I think, February 6, which is two or three weeks earlier than previously thought. So it tends to point to influenza-like or potentially beginning COVID-like impact on the book. And I think that given that, I think I’m reasonably comfortable that there are specific underlying indicators as to why we’ve missed this quarter.
Jonathan Porter: Yes. And then maybe I’ll just add that just to the question about reassessing. I mean, we regularly and constantly reassess our mortality expectations, not just in the U.S. but globally. So that’s a process that we go through to make sure that we’re comfortable with our go-forward expectations.
Erik Bass: Thank you. And then if I could switch to the investment portfolio. I appreciate the additional disclosure. Could you just provide some additional color maybe on how you expect the portfolio to perform in a recession? And do you have any estimate for what potential impairments could look like in a stress scenario? And also, how do ratings downgrades affect your capital given that a lot of your business is outside of U.S. statutory entities?
Leslie Barbi: Hi, it’s Leslie – oh, I’m sorry go ahead, Anna.
Anna Manning: No, I was going to say why don’t we start with Leslie and then, perhaps, turn it to Todd on the capital question?
Leslie Barbi: I love that stance. This is Leslie. So this is certainly a difficult period to predict given the unusual mandated shutdowns and offsetting policy. So our approach has been to look at a variety of stress scenarios and the map factors from half of your cycles to our portfolio characteristics, meaning historical rating migration, impairments, loss severities and so forth and, in some cases, increase the stresses. So we’re considering a range of cases at the moment that can happen. Our current expectation around economic activity, which is an important factor here, is that it somewhat resumes in the second quarter and then continue a gradual recovery over multiple quarters. Given our stress testing and building off that central case, but not focused on only that, our top-down loss, we would say, our current best estimate over the next several quarters for impairments could be in the $300 million to $400 million range. And I say that could give you guidance. But importantly, based on our bottom-up look, so we’ve really dug into all the credit to see how they’re doing in this environment. Based on that bottom-up look, we’re not seeing that level of problems in the portfolio. We just want to plan for and realistically manage through a difficult environment. I’ll note that some of the aspects I discussed before and are highlighted in the deck, point out that we have a defensively positioned portfolio within our categories, but we did apply those top-down more generic stresses to make sure we’re prepared to manage through this. And then I would say, and I know Todd will comment, but what we connect those to capital impacts are all very manageable, and that’s without even assuming that we take any portfolio management action.
Todd Larson: And maybe just to wrap it up. On the RBC-related companies, based on the analysis that sort of Leslie just walk through and gave an overview of, we think it’s very manageable in the RBC ratio. We probably could absorb impacts even without taking management action but very manageable. And then for the entire enterprise, looking at it from an economic capital and a rating agency capital perspective, basically, the way we are viewing it is a very manageable scenario.
Anna Manning: And I guess the last thing I’ll throw in there is, certainly, all of that has been rolled up into the integrated look and planning at the company.
Operator: We will now take the next question from Ryan Krueger from KBW. Please go ahead.
Ryan Krueger: Hi, thanks. Good morning. Going back to the $400 million to $500 million mortality scenario for 100,000 U.S. deaths, can you provide a little bit more detail on that? I guess, in particular, were there any adjustments made for the age distribution or general – or differences in insured population versus the general population or did that assume kind of – did it not make any, I guess, adjustments for those types of factors?
Anna Manning: I’ll turn this one over to Jonathan.
Jonathan Porter: Yes. Hi, Ryan. Thanks for the question, so yes. So just specifically, we have made adjustments for both of those factors. So what we’ve done is we’ve taken projection of population-related deaths and then layered it on top of our specific age distribution and geographic distribution. And we’ve also adjusted for observed differences and expectations between the health status of insured lives versus general population lives. Just to give you a sense of that, the impact of both of those factors combined at a global level is about a 50% reduction. Now it does vary by country. So as an example, age distributions are not uniform across our global business so you would expect to see a different adjustment for geographies with higher exposure to older ages than those with lower, although there is an adjustment in all cases because our population is younger – or sorry, has less concentration of those older ages than general population. And of course, it is still unclear what the ultimate difference will be between insured lives and general population lives, but that’s becoming clear. And as we get experience in claims reporting, we’ll be able to refine that adjustment as well.
Ryan Krueger: Okay, got it. So it adjusts for insured population versus general population, age distribution. I guess it does not adjust for the whole morbidity offsets and longevity offsets. Is that the right way to think about it?
Jonathan Porter: Yes, that’s right. So our longevity offset, where we would – we estimate it would be approximately up to 10% of that amount. So that would be a reduction, I guess, on a net basis, if you include our longevity exposure. But yes, that’s not built into the $400 million to $500 million.
Ryan Krueger: Got it. And then there was some noise in asset-intensive this quarter. Can you just give an updated outlook for your normal run rate earnings in that business at this point?
Anna Manning: I’ll hand that one over to Todd to comment.
Todd Larson: Yes. In the quarter, Ryan, given the market turmoil, some of the – primarily on the variable annuity portfolio that we have, the account values went down so the expected projected future fee income, if you will, went down, and that accelerated some DAC amortization. But once things get back to, I’ll call it, come back to normal, I mean, I think the run rate is probably still valid albeit probably at that lower end of what we’ve provided.
Ryan Krueger: Great. Thank you.
Operator: The next question comes from Dan Bergman from Citi. Please go ahead.
Dan Bergman: Hi, good morning. I guess, first, could you talk a little bit about the sources of cash or funds you have to fund any potential COVID impact in near-term credit losses? I mean, should we be thinking about your normal free cash flow, capital freed from slower near-term sales and the current excess capital as the main likely funding sources? Or are there other things we should be thinking of like debt issuance, the ultimate impact ends up being a little bit more severe? Any thoughts on that would be great.
Todd Larson: Anna, you want me to take that?
Anna Manning: Yes. I am sorry, Todd. That is a Todd question, yes, certainly.
Todd Larson: Yes. As far as liquidity, we’re in very good shape there. Over the course of the last few weeks, we have built up some additional liquidity, as I mentioned, to make sure that we can cover what we feel are even some of the more stressful scenarios on the claims side. And also, as you know, the claims will be paid out over several quarters, it won’t be a onetime-type event. So we feel very good on the liquidity side. On the capital side, we came into this with some excess capital. We always are looking at various forms of capital to make sure we are in a position to act on attractive transactions that we see in the market, as well as maintain capital levels sufficient to meet all of our subsidiary needs, as well as rating agency capital. So we will look at various alternative forms of capital. What and when we execute on, I think, is still an open question as we see how this evolves.
Dan Bergman: Got it. Thanks so much. And then maybe shifting gears a little bit, just with the improvement in Australia results this quarter following a period of weakness? Could you give a little bit more color on what drove the improvement there relative to the recent trend and just any updated thoughts on the outlook for profitability in that region going forward?
Anna Manning: Perhaps, Alain and Todd?
Alain Néemeh: Sure. Look, I’d say, obviously, we’re very pleased with the results. But I’d be hesitant to suggest that the turnaround is over. We’re benefiting from rate increases to a greater extent of the year and the quarters progressed. We certainly continue to engage with clients in all aspects to remedy the business. But in terms of guidance for the rest of the year, I’m guessing that we’ll probably still guide to a loss but maybe smaller than we might have thought. But I think it’s very early, and I’d like to see a couple more quarters play out.
Todd Larson: Yes, I agree with Alain’s comments. And the only thing I would add is that it was nice to see Australia perform fairly well pretty much across the different business lines in both individual and group side. So it was a positive sign, but we still need to be managing that block very closely.
Dan Bergman: Thanks so much for taking the questions.
Operator: The next question comes from Alex Scott from Goldman Sachs. Please go ahead.
Alex Scott: Hi good morning. First question I had is just sort of higher level on capital. When you go through the scenarios you’ve laid out, thinking through your one-in-200-year scenario and so forth, I mean, is there anything about this experience change to the way you would think about capitalization kind of on the other side of it on a go-forward basis? Is there anything that would change the way that you view excess capital and how you measure that?
Anna Manning: Jonathan, do you want to take the first part of that question about our thinking on one-in-200-type of capital levels?
Jonathan Porter: Yes. So I mean I think, obviously, we’re still in the middle of the pandemic, so things will play out over time, and we’ll see sort of what the ultimate result is. But just looking at our 1-in-200 sort of assessment of exposure, I think the dollar amounts that we have attached to that capital level, I still feel very comfortable with. We still believe that this pandemic will result in an ultimate impact, which will be well within the one-in-200 capital levels. So at this time, I wouldn’t have an expectation that we would revise or change your expectation on what that total level of capital would be.
Anna Manning: And Todd, the second part of that question.
Todd Larson: Yes, outlook on a go-forward basis, it’s probably a little bit too early to give you a definitive answer on that beyond – certainly, we’re going to take into account what we are learning through this to see if there’s a different capital mix and capital structure or anything we should add into our overall toolkit going forward. But I think it’s too early to give you a definitive answer. I think what we’ve historically done as far as how we structure our legal entities and have liquidity facilities across the various enterprises will serve us well as we go forward here, but as far as change in the overall capital model and mix, it’s too early to give you a definitive answer.
Alex Scott: Got it. And then maybe just on pricing, could you talk at all about pricing and season rates and what you’re seeing? And is there, property and casualty, in a situation where you have a catastrophe and it helps pricing on the other side of it? And I get that question sometimes on the life side and whether something like this would influence pricing or not going forward, so I’d just be interested if there are any comments on that. And maybe if it would even impact some of the in-force transactions and how do you price those.
Anna Manning: Alain, if I can turn that over to you.
Alain Néemeh: Sure. So I think there is two set of questions there. If you think about the traditional business, certainly, we’re pricing for the business for very long periods of time. We do tend to adjust year over year as mortality and other factors evolve, whether they be interest or morbidity elements. Sitting here a few weeks, maybe months into the pandemic, it’s probably difficult to talk about how that might impact pricing over the future because as Jonathan mentioned earlier, I think it’s still too early to determine, for example, whether this might be an acceleration of mortality in terms of people at the older ages who might have passed in the next few months or whether there’s something a little bit more fundamental that might set in. So I think it’s probably too early, but typically, we certainly don’t tend to move pricing around as drastically as in the P&C industry. On a transactional basis, I think certainly – and this sort of applies to traditional as well, we are certainly very keenly looking at elements of anti-selection or reasons why transactions may be coming to the market and then applying, I guess, what I would term our usual diligence to the process. And so I think it’d be very transactional specific as to whether pricing might move up and down, but it’s also impacted by the economic environment, the ability to source the right types of assets, those kinds of questions. So sorry if I am not giving a very clear answer, but it tends to be a little bit specific to any one transaction.
Jonathan Porter: This is Jonathan. Maybe I can just add to that as well, that definitely from a risk selection perspective, as you alluded to. But the in-selection, we are making adjustments to our practices and for underwriting, both on an individual cases and on a more larger transaction basis to take into account sort of the heightened risk profile and some expectations.
Alain Néemeh: And I think it’s also fair to say on group life and health, for example, where that is annually re-priced business we may see earlier impacts there. But again, we’re working our way through alright now.
Alex Scott: Understood. Okay, thank you.
Operator: The next question comes from Tom Gallagher from Evercore. Please go ahead. Please make sure your mute function is switched off.
Tom Gallagher: Sorry. Yes. Of the $400 million to $500 million impact, can you give us a sense for how much of that would be from the U.S. versus non-U.S.?
Jonathan Porter: Yes. So I don’t think we want to split it out at this time, just given some of the uncertainties that we’re seeing, in particular, at the geographic level. I guess what I would point you to, just to give you a directional sense is if you look at our net amount of risk distribution that we’ve provided in the slide, that’s sort of a baseline. But then you would need to sort of factor in the fact that our older – our businesses that are skewed more to older ages would have a slightly – would have a higher proportion impact than what that minimum risk or would show. So that would give you a directional sense, but I think it’s too early to split out given some of the uncertainties.
Tom Gallagher: Got it. And the reason I asked, so the sensitivity was 100,000 U.S. deaths in 4.4 million of global. Could you correct me?
Jonathan Porter: Yes, 1.4 million global. So what we’re doing is effectively taking a scenario that we’re applying to the U.S., which is about 0.3 per thousand times the U.S. population gives you 100,000 deaths and applying that same scenario to other countries across the world and then age adjustment.
Tom Gallagher: Got it. And is it fair to say – I mean, given where we’re at now, I think we’re over 70,000 U.S. deaths. This might actually be the 2Q impact based on current trajectory. And maybe there’s a lag and delay given the reporting of claims, but I mean, it seems to me like this is a reasonable base case just given where we’re at. Globally, it sounds high, but it could be some underreporting going on there. But is it fair to say that this is probably more of a base case at this point?
Jonathan Porter: Yes. I think as you point about global, I mean, that’s very important to take into account, the fact that our business is global and it’s not all in the U.S. So that’s something, as I mentioned, a couple of examples of Australia and Hong Kong, right, where there’s – I think in total between those two countries, there’s 100 general population deaths. So clearly, that would be almost zero impact to us. Also, I guess I would point you back to some of my comments earlier about some areas of uncertainty, which may result in lower overall impact to us. I think that, combined with sort of the timing element that you brought in, I don’t think we can definitely say this will be a number that we would see in a quarter. I think we need to see, I guess, what reporting comes in and it may be different than this.
Tom Gallagher: Got it. And then the kind of within that, the UK-related impact, I know there is another big sensitivity given, are you able to shed a little bit of light on – since that is kind of a very overweight exposure for you, what your kind of baseline mortality expectation within this sort of global overall assumption is?
Jonathan Porter: Yes. Actually, I’m glad you asked about the UK. So I mean an interesting dynamic we have in that market is that’s where most of the vast majority of our longevity business is written. So when you look at the UK, the net exposure in the UK, those two pieces largely offset. And it’s not perfect, and things will obviously move depending on the age distribution. But because our longevity business is skewed to older ages, we’re somewhat immunized to the ultimate death rates in the general population in the UK because the losses we would expect to see on our mortality book would largely be offset by the gains on our longevity business.
Todd Larson: That helps. Jonathan, correct me if I’m wrong, too. But in the UK, on the mortality side, some of our underlying share is on the younger side because it’s primarily tied to mortgage insurance-type policy.
Jonathan Porter: Yes, that’s right, Todd. I mean, yes, that’s a good point. Another thing to point out is our UK age distribution is definitely skewed to be much younger than some of the other countries where we operate, which will reduce the mortality claims expectation.
Tom Gallagher: Got it. That’s helpful. Thanks, guys.
Operator: As there are no further questions, I’ll now turn the call back to your host for any additional or closing remarks.
Todd Larson: Okay. Thank you, everyone, for joining our call today and for your continued support of RGA. Before we go, I wanted to mention that our Investor Day that was scheduled for June 4, we are postponing that due to COVID-19. We will provide more information as this event is rescheduled for a later date. Thanks for your understanding. And if you have any questions, please feel free to reach out to Jeff. Again, thank you very much for joining us this morning.
Operator: That will conclude today’s call. Thank you for your participation. You may now disconnect.